Operator: Greetings, and welcome to the Veris Residential, Inc. Fourth Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Taryn Fielder, General Counsel. Thank you, Ms. Fielder. You may begin.
Taryn Fielder: Good morning, everyone, and welcome to Veris Residential's fourth quarter 2023 earnings conference call. I would like to remind everyone that certain information discussed on this call may constitute forward-looking statements within the meaning of the federal securities law. Although we believe the estimates reflected in these statements are based on reasonable assumptions, we cannot give assurance that the anticipated results will be achieved. We refer you to the company's press release and annual and quarterly reports filed with the SEC for risk factors that impact the company. With that, I would like to hand the call over to Mahbod Nia, Veris Residential's Chief Executive Officer, who is joined by Amanda Lombard, Chief Financial Officer. Mahbod?
Mahbod Nia: Thank you, Taryn, and good morning, everyone. Over the past three years at Veris Residential, we've accomplished a number of key strategic objectives, including $2.5 billion of non-strategic asset sales and the repayment of approximately $1 billion in net debt, delevering, derisking and strengthening our balance sheet. We also negotiated the early redemption of Rockpoint's preferred interest, strategically grew our multifamily portfolio by nearly 2,000 units through the development and stabilization of our four new properties and one acquisition, reinstated the dividend and built a best-in-class vertically integrated platform encompassing new personnel, processes and technologies. As a result, we have successfully transformed the company from what was once a complex, predominantly office REIT to a pure-play multifamily REIT. Our focus now turns to the significant opportunities available to us for continued value creation that I'd broadly categorize into three areas. First, continued operational outperformance through a number of platform and portfolio optimization strategies; second, capital allocation initiatives focused on generating earnings and value accretion to further boost the positive baseline performance from our multifamily portfolio; and third, further strengthening of our balance sheet. While a degree of earnings volatility is inevitable until we reach a mature state as a company, through a combination of these initiatives, we believe we have the potential to deliver continued relative outperformance as we seek to further enhance entity value for our shareholders over time. I'll discuss this in further detail, but first, a few words regarding our markets and the economic outlook. Unlike many national markets that are facing a glut of near-term supply, the Northeast is expected to see a modest 1.5% inventory change in 2024, well below the national average of 3.5%, supporting the case for a continued normalized level of rental growth in our markets. Almost half of our properties are located along the Jersey City Waterfront with very limited supply as virtually no new projects were completed last year and approximately 1,200 units expected to be completed within the next two years. Demand remains robust and vacancy rates are low, suggesting new supply is likely to be absorbed much in the same way it has been during the past decade in which the multifamily stock in Jersey City Waterfront has doubled to around 24,000 units, while rents have continued to rise. Among the key attractions of Jersey City is the fact that Class A rents in the area reflect a discount of approximately 40% of top Manhattan submarkets and 10% of those of downtown Brooklyn, while offering generally newer product, more space and a wider selection of amenities. As a result, Jersey City remains an appealing submarket for prospective tenants from Manhattan, who represented approximately 20% of our move-ins during the fourth quarter. While the fundamentals across our core markets remain strong, we are in an environment of elevated macroeconomic and capital markets uncertainty, which coupled with a moderating leasing environment warrants a degree of caution looking ahead. This is reflected in our 2024 guidance, which Amanda will discuss later. Turning to operational results. The fourth quarter of 2023 represents the 10th consecutive quarter during which various generated sector-leading operating results, driven by strong rental growth and effective expense mitigation measures. Our Class A multifamily portfolio continued to outperform, achieving 17.6% year-over-year NOI growth, exceeding the high end of our guidance range despite the widespread slowdown across the multifamily sector. At year-end, same-store occupancy stood at 94.4%. We continue to achieve favorable leasing and renewal spreads despite the fourth quarter typically being a slower leasing season and rents now lapping two consecutive years of high growth. Blended same-store net rental growth remained strong at 5% for the quarter and 9.3% for the full year, driven by an 8.4% increase in renewal rates, partially offset by modest growth in new leases. While the rate of rental growth in the portfolio moderated during the fourth quarter, consistent with our commentary last quarter, it remained competitive relative to our peers who saw an average rent growth of around 0.9% during the same period. Our Jersey City Waterfront properties continued to outperform, achieving 7.6% rental growth in the fourth quarter and 11% for the full year. Despite the strong rental growth across our portfolio, affordability remained healthy with an average rent-to-income ratio of 13%, reflecting the profile of our affluent residents who have benefited from growth in their salaries and have an average annual income of over $180,000 or an average annual household income of over $300,000. Our focus on realizing operational efficiencies is evident in our NOI margin, which further improved to 64% in 2023, up from 62% in 2022 and 57% in 2021 on a normalized basis, reflecting our continued focus on expense management and proactive approach to insurance renewals and tax appeals. We remain highly focused on our pursuit of excellence and the creation of value for all of our stakeholders. Consistent with this we've introduced a number of innovative technological solutions across our portfolio, including an AI-based leasing assistant that has proven particularly effective at communicating directly with residents, saving approximately 1,200 staff hours per month while allowing us to tend to our residents' needs around the clock. In addition to a number of centralized back-office functions, we also implemented new processes, and a new hybrid staff floating leasing team and a smart maintenance platform, that we anticipate will allow for further operational efficiencies and enhance productivity across our portfolio without impacting the exceptional customer service that our residents have come to expect. A number of these initiatives were implemented during the fourth quarter and are expected to positively contribute to our NOI and operating margins over time. As part of our ongoing commitment to providing an unrivaled living experience, last year, we launched The Veris Promise, an extensive collection of unique resident benefits, including a 30-day move-in guarantee, 24-hour maintenance guarantee and promotions from brand partners, among other programs, an initiative that's been well received by our residents and is unrivaled among peers. Our commitment to excellence is further reflected in our peer-leading online reputation assessment or ORA score of 83 with two of our properties recently achieving elite 1% status. Earlier, I mentioned capital allocation as a focus area in this next phase. While our transformation is behind us, as a company, we are not yet in a mature optimized state, presenting a number of unique opportunities. Earlier this year, we closed an additional $40 million of nonstrategic sales, including the sale of a land parcel in suburban New Jersey for $10 million and the sale of our 50% stake in the Metropolitan Lofts joint venture in Morristown, New Jersey. The 59-unit property was sold for $31 million, representing a 4% cap rate and raising $6 million in net proceeds. Further, at the end of January, the company signed a binding purchase and sale agreement to dispose of our last remaining office property, Harborside 5 for $85 million, anticipated to release approximately $80 million in net proceeds. Including this asset, we have approximately $140 million of assets under binding contract at this time. The equity released from these sales will provide us with valuable liquidity and optionality during this next phase in the company’s evolution. We also have a further $215 million of equity in our land bank and are in the process of determining our long-term strategic sites and potential further monetization opportunities. We will continue to work closely with the Board to determine the highest and best use for capital as it becomes available to us, evaluating a broad range of capital allocation alternatives as we seek to maximize value for our shareholders. This includes, but is not limited to investing in our own portfolio, such as our planned extensive renovation of Liberty Towers, a 648-unit apartment building in Jersey City which, once completed, we anticipate mid-to-high teens return on invested capital over a four-year period and an estimated $0.06 of annual core FFO contribution, representing 11% of our 2023 core FFO from the single investment of approximately $30 million while significantly enhancing the value of the asset. Our third area of focus, the continued strengthening of our balance sheet, will be discussed by Amanda in more detail. Finally, turning to our commitment to ESG. We are pleased with the recent additions to our collection of industry awards, which recognize our tremendous progress and the commitment of our employees and residents to our core ESG principles. After earning global and regional recognitions from the 2023 Global Real Estate Sustainability Benchmark, or GRESB last quarter, we are honored to have subsequently receive NAREIT's Leader in the Light Award for outstanding sustainability efforts in the residential sector. Our commitment to diversity, equity and inclusion was also acknowledged by NAREIT with their bronze recognition. To start the year, we were honored to receive The Great Place to Work certification for the third consecutive year, a testament to our strong company culture and highly engaged employees whom I would like to thank for their tireless efforts and contributions in the pursuit of excellence across our business. With that, I'm going to hand it over to Amanda, who will discuss our financial performance and guidance for 2024.
Amanda Lombard: Thanks, Mahbod. For the fourth quarter and full year of 2023, net loss available to common shareholders was $0.06 and $1.22, respectively, per fully diluted share versus net income of $0.34 and loss of $0.63 per fully diluted share in the fourth quarter and full year of 2022. Core FFO per share was $0.12 and $0.53 for the fourth quarter and full year as compared to $0.12 last quarter and $0.05 and $0.44 for the fourth quarter and full year of 2022. Year-over-year, core FFO was up 20%, driven by same-store portfolio growth, a full year of operations for The James, stabilization of Haus25 and cost reductions in both overhead and property operating costs. We realized this increase in core FFO despite the loss of $47 million in NOI from offices and the three hotels that we used to own. AFFO per share grew fivefold year-over-year to $0.62 per share, up from $0.12 in 2022, reflecting the impact of shedding CapEx-intensive office assets in addition to the factors noted driving core FFO's 20% growth. Given we are now fully a multifamily company, next quarter, we anticipate modifying our calculation of AFFO to only back out recurring CapEx required to maintain our assets, and we will exclude revenue-generating capital expenditures related to retail leasing in line with our peers. For the fourth quarter, this adjustment would have only been $300,000, so it's not significant and isn't expected to be in the future. Turning to G&A. After adjustments for noncash stock compensation and severance payments. G&A was $36.5 million for the year, representing a 13% reduction as compared to 2022 and a 21% reduction since 2021. As has been the case in the past, fourth quarter G&A was higher than third quarter due to anticipated seasonal items. We've made significant progress in reducing G&A over the past two years despite the high inflationary environment. We continue to evaluate opportunities to reduce expenses, such as those associated with the windup of Rockpoint, which are expected to be fully realized in 2025 and further technological enhancement. On to our balance sheet. We ended the year with virtually all of our debt fixed and/or hedged and with a weighted average maturity of 3.7 years and a weighted average coupon of 4.5%. Net debt-to-EBITDA based upon EBITDA for the full year was 11.9x, an improvement of almost a turn from 2022 and three turns since 2021. Before we begin discussing our guidance in detail, I'd like to start by emphasizing that while our transformation to a multifamily company may be complete, as Mahbod mentioned, there remains a possibility that earnings may fluctuate materially depending upon our capital allocation strategy and timing. Our guidance at the low end is assuming that the macroeconomic headwinds discussed by Mahbod results in a decline in job and wage growth in our markets, thus slowing the pace of rent growth, coupled with elevated expenses. On the high end of our range, we've assumed higher rental revenue growth given the low supply in our market, albeit below 2022 and 2023 levels, but still with elevated expense growth due to insurance and real estate taxes, which are difficult to predict and largely outside of the company's control. In all scenarios, we've assumed that the only sales completed in 2024 are the two previously announced transactions. We are projecting core FFO per share of $0.48 to $0.53, which is largely driven by same-store NOI growth of 2.5% to 5%, offset primarily by a reduction in deposit interest income and one-time items recorded in 2023 to other income. Our 2024 Same-Store pool will include Haus25 and The James and exclude the Met Lofts, which result in a net increase of $32 million to our 2023 Same-Store NOI. On the revenue side, we project growth of 4% to 5%, at the midpoint, the growth is comprised of approximately 350 basis points of rental revenue growth, primarily driven by recapture of loss to lease and 100 basis points from Haus25 due to the impact of retail leasing and concessions burning off as a result of the lease up. We are forecasting modest rental revenue growth, which we believe is prudent given the past two years strength and potential economic headwinds ahead. However, rental revenue growth will be higher than our annual projection in the first quarter as a result of Haus’ relative performance this year versus last before returning to a more normal seasonal bell curve. On the expense side, we are projecting growth of 5% to 6%, driven largely by our non-controllable expenses. At the mid-point, we see 160 basis points related to increases in insurance as we believe premiums will continue realizing double-digit increases and about 175 basis points related to expense inflation, which is offset by anticipated savings from various operational initiatives. We will also have about 215 basis points of expense growth, primarily in the second quarter, when we lapped the recognition of the credits received last year on the tax appeals on the two Jersey City assets. In regards to the balance sheet and interest expense, we are projecting that interest will remain relatively flat with modest deleveraging from the sales proceeds, tamping down the impact of higher rates. We have $308 million of mortgages maturing in 2024 and in July, we have an additional $159 million mortgage that steps up to above market interest rates that we will seek to revert back to market term. Given the high quality and strong performance of these Class A multifamily properties, lender appetite remains strong and we are working with lenders on potential solutions at this time. Upon refinancing of these loans, the company has no consolidated maturities on its balance sheet until 2026. We will also, as we have in the past, seek to hedge and/or fix the majority of our debt. Rounding out guidance at the mid-point, we expect overhead cost of real estate services, which is where we record our property management expenses and D&A to remain relatively flat, reflecting our cost saving initiatives, despite anticipating ongoing inflationary pressures. While our portfolio of Class A multifamily assets continue to perform well, our guidance reflects a company that is still emerging from its strategic transformation and an uncertain macroeconomic climate. In addition, given our reliance upon sales of non-strategic assets this year in what continues to be a challenging transaction market uncertainty around future interest rates and our upcoming maturities and tempered expectations for our markets, given two consecutive years of extremely strong performance. There remains potential for continued volatility in our earnings, which is reflected in our guidance. Veris represents an extremely compelling value proposition, the highest quality and newest Class A multifamily properties located in established markets in the Northeast, commanding the highest average rent and growth rate among peers with limited near-term supply, high barriers to entry, and managed by our vertically integrated best-in-class operating platform. We believe the multifaceted approach Mahbod described earlier will be instrumental to long-term value creation for our shareholders and we are looking forward to updating you as the year progresses. I would also like to point you to our new investor presentation, which has been posted on our website and contains additional details about our go forward strategy. With that operator, please open the line for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Thank you. Our first question comes from the line of Steve Sakwa with Evercore ISI. Please proceed with your question.
Steve Sakwa: Yes. Thanks, good morning, Mahbod and Amanda. Maybe just a couple of things on guidance. Now that you're basically fully transitioned to being an apartment company, could you just discuss what's embedded in the revenue growth as it relates to kind of occupancy, maybe your blended rent spread, and maybe any bad debt trends that you could highlight. Thanks.
Mahbod Nia: Good morning, Steve. It's a good question. On the revenue side, as Amanda said in the scripted remarks, the assumption is that the majority around 3.5% of that is recapture of lost to lease and then 1% related to Haus. In terms of occupancy, it's not really the primary metric that I would say we target, I would say, that we do try to maintain that around the 95%, understanding that it may fluctuate from time to time slightly above or below that. But our strategy very much is focused on the maximization of NOI, and that's what drives us forward. So if you're referring to the slight dip in occupancy, that's not particularly troubling at this point. And we're encouraged to see that the blended net rental spreads are still positive and around the mid-single-digit is where we see them for the next couple of months.
Steve Sakwa: Okay. I guess, what I'm really trying to get at is you guys obviously had a great 2023 and you handily beat your expectations. And as you sit here today, you've got earning on the portfolio that might get you most of the way towards your revenue growth. So does that mean you're really not assuming much in the way of market rent growth this year? Or I guess, how conservative might you have been on setting the top line targets just given the macro uncertainty?
Mahbod Nia: No, we've assumed modest rental growth for this year. That's in that lost the lease recapture figure that I gave you. The reality is that the fundamentals here, as I mentioned, still feel strong. Not as strong as they were, but still strong on a relative basis compared to some of the other markets that we've seen supply challenges primarily beginning to feed in and cause some softening. So that's reflected in our guidance. And we are assuming some modest rental growth this year and that's in the number in the loss to lease.
Steve Sakwa: Okay. And just – I know Amanda touched on it. Just on the FFO and the bridge, I guess. I think if I hear you correctly, you're saying that the positive NOI growth is kind of getting offset by higher interest expense and some one-time items in 2023 that don't recur in 2024. Is that kind of how we're getting from 53 in 2023 down to 51 at the midpoint? Or again, is there anything else that might be dragging FFO down in 2024?
Mahbod Nia: It's not quite correct, but almost, I think the way, I would think about it is you had around, and this was – we communicated this at the time that we had around $5 million of deposit income last year, largely related to the $350 million of cash that we were sitting on once we closed Harborside. So that's $0.05 that we won't get this year. And then you had another, call it, $0.03 also of other one-time positive non-recurring contributions to earnings, the largest of which was payment received in a settlement that, again, we don't see recurring items. So that’s $0.08, $0.09of one-time items last year that were in core FFO that you won't get. And so if you adjust the $0.53 fully annualized, the full year core FFO $0.53 by that you get to kind of $0.44, $0.45 excluding those one-time items. We also had fairly significant loss of NOI from the sale of office, but that was offset by the interest payments on the preferred that we saved by repaying rock points. So that was kind of a wash. And so you're kind of at that $0.44, $0.45 excluding the one-time items and then you look at that relative to the guidance and actually the guidance does tie with the NOI growth that we're projecting even at the midpoint, you're at kind of just over $0.50, $0.51 relative to that $0.44, $0.45 last year once you strip out the one-time items. 
Steve Sakwa: Great. Thanks. That’s it for me.
Mahbod Nia: Thank you, Steve.
Operator: Our next question comes from the line of Anthony Paolone with JPMorgan. Please proceed with your question.
Anthony Paolone: Thanks. Good morning. Maybe just staying on some of these guidance items, Amanda in that flattish interest expense you noted for 2024 over 2023, what does that assume in terms of that step up in rate you mentioned for the one mortgage and also the refinancing of the couple of maturities later in the year?
Amanda Lombard: Sure. Good morning. So first off, I think if you look at our debt portfolio today, and we did nothing assumed there was no refinancings, we would have lower interest expense this year of about $2 million due to the refinancings we did last year on House and Portside. So right there you have a $0.02 savings. And then when you look at the three refinancings we have this year, we assumed that we would refinance them at the most advantageous market terms. And then you have to put into perspective when they would actually get paid off. The largest of the three loans maturing this year, Liberty Towers, doesn’t mature until October and so the existing rate is going to be in place for basically three quarters of the year. So you put those factors together and that’s roughly how you get it.
Mahbod Nia: Yes. So just to add to that, if I may. We are – like I mentioned in the scripted remarks looking at a range of alternatives to refinance those loans, given the quality of the assets, given the asset class that we’re in, the fortunate thing is that despite tight credit conditions, there is a lot of lender interest to lend on those. And so we’re evaluating a number of options, but generically have assumed that those are refinanced in a similar way to the refinancings that we affected last year with Portside 1 and House 25, with some level of debt pay down and then an interest reset. That combined with the timing of those refinancings results in interest expense being broadly flat this year.
Anthony Paolone: Okay. And then just also on the balance sheet you put in place an ATM program. Can you comment on just how you’re thinking about that, when you might use it, or just how it fits in?
Mahbod Nia: Sure. So this is a program that actually we’ve had since 2021. It’s just a refresh of that program. It’s common and I would say prudent for companies such as us to have one. And you’ll see the other companies do have one. Hasn’t been utilized thus far, but it’s another source of capital available to the company, should it be required. Today we have significant liquidity, $95 million of liquidity between cash and availability under the line, and $140 million of assets under binding contract, as well as a business that is throwing off surplus cash flow, including post dividends. So I think we’re in a healthy position in terms of liquidity, but this is just prudent to have it in place.
Anthony Paolone: Okay. And then just last one for me. Amanda, I think you mentioned recurring CapEx, like $300,000 or something in the fourth quarter. But if we think ahead, if we think about most apartment companies, maybe 10% of NOI or something thereabouts might be a level of CapEx over time. Like is there any way to think about that level for you all going forward? I know you said you wanted to delineate between revenue producing and recurring, but just the $300,000 just strikes me as a bit low. And so just wondering if you could frame that a bit more.
Amanda Lombard: Yes, sure. I think – I’ll start off and then Mahbod can jump in here if you need to. So, I think, yes, the $300,000 is really low because we don’t have a lot of revenue-generating CapEx in our portfolio. That primarily relates to the retail leasing at our multifamily assets. And so, I think I don’t have a target for you. We haven’t given guidance on where we see those figures, but it does represent a small portion of our overall spend. The one thing I would add is, we’re still leasing up Haus and so there will be a little bit of spend next year, but it’s not material as I stated earlier, but that is something that we will be working on next year.
Mahbod Nia: Yes. Look, I think there’s very little vacancy in the portfolio. The change that Amanda mentioned is really more reflective of our transformation from an office [ph] company to a multifamily company, and there could be a vast differential there in the lease-up costs and the revenue one has to – the CapEx one has to invest to be able to generate revenue. So that’s really what that referred to. And today, it’s mostly just the retail on our side, and that’s sort of a huge portion of our portfolio.
Anthony Paolone: Okay, thank you.
Mahbod Nia: Thank you.
Operator: Our next question comes from the line of Josh Dennerlein with Bank of America. Please proceed with your question.
Josh Dennerlein: Yes, good morning everyone. Just looking through the investor presentation you posted online, I noticed Slide 17 about your ongoing portfolio optimization strategies. Just kind of curious if you’ve kind of – if you could provide any color on the potential margin expansion opportunity from all these initiatives?
Mahbod Nia: Josh, thank you for the question. We haven’t put a number on that at this point, but the reality is that there are a number of initiatives, some targeting revenue, some more the expense side. And then as you mentioned, an element of capital investment as well with very much a disciplined return on invested capital approach to dollars that a spent there. And so really, what we’re saying here is that there is real potential for optimization and growth, both in NOI and in margins through affecting a multipronged strategy over time. But the reality is some of those initiatives are more near-term and have a near-term impact, some of the more medium to long-term. We gave the example of Liberty Towers, for example, which has the potential to increase our earnings our 2023 earnings by 11% from one asset alone, but that’s a four-year initiative. And in the first year, we don’t anticipate seeing any benefit from that through 2024. So, it’s difficult to give you an exact number over an exact period at this point. But we do believe that over time, we can increase both the NOI and the margin through these initiatives.
Josh Dennerlein: And speaking of Liberty Towers, I guess have you – is it there a way to quantify the number of projects like this in your portfolio? Or how are you thinking about the opportunity set?
Mahbod Nia: We're looking at that, and there potentially could be some others we're working through. As I said, any investment we make, whether it's within our portfolio or otherwise, there's a very disciplined approach to evaluating returns on that investment. And so this is the largest, most impactful one, given the size of the asset and the age of the asset relative to the rest of the portfolio, which is why it's the primary focus but there could be others as well.
Josh Dennerlein: Great. Thanks for the time.
Mahbod Nia: Thank you. Thanks for the question.
Operator: Our next question comes from the line of Eric Wolfe with Citi. Please proceed with your question.
Eric Wolfe: Hey, good morning. We've seen a couple headlines recently about peers being subject to rent control at their properties. Was just curious if you're doing anything differently from an operating or compliance perspective to lower that risk?
Mahbod Nia: Good morning. Thanks for the question. Well, look, we believe that we've taken all the necessary and appropriate steps to preserve the available exemptions from rent control ordinances which may be applicable to the properties in our portfolio. And we have the added advantage that we have younger vintage properties and have developed most of them. So it's not a concern for us at this time.
Eric Wolfe: Fair enough. And then I know you've done a lot of work in terms of simplifying structure of the company, simplifying JVs and the structure there. I guess, I was just curious if there's anything left for you to do in terms of cleaning those up. The upside that could potentially come from that. And then just as far as being able to sort of freely sell them if you wanted to, like do you have the ability to do that? And can buyers assume the debt without some type of penalty there?
Mahbod Nia: Your question was in relation to the joint ventures?
Eric Wolfe: Yes.
Mahbod Nia: Yes, it's a good question. We do have a, obviously, the largest joint venture was the Rockpoint joint venture, but there are a number of others, and we do have a not insignificant sum of equity that is embedded within those joint ventures. So as part of our capital allocation component of this optimization, we are looking at those and looking at both the managed and the non managed joint ventures, really understanding what sort of returns we are deriving from the equity that's within those joint ventures, those investments, and what our rights are vis-à-vis a potential exit. And so there potentially could be some further cleanup there to release equity and put it to a higher and better use, but nothing to announce today.
Eric Wolfe: Okay, thank you.
Mahbod Nia: Thank you.
Operator: Our next question comes from the line of Tom Catherwood with BTIG. Please proceed with your question.
Tom Catherwood: Excellent. Thank you and good morning, everyone. It was great to see Harborside 5 going into contract. Know that was a significant lift. Mahbod, you've previously discussed the inefficiencies of running two disparate platforms at the same time with office going away. What are you figuring for G&A and other cost savings this year?
Mahbod Nia: Good morning, Tom. Well, I think it's fair to say that we have been – if your question is that as we've simplified to one asset class from two, are there further savings to come operationally from that? We have been doing that gradually over time. So, this was our last office asset, but we sold 51 properties, the majority of which over 30, you had 33, which were office over the last three years. And so, as we've gone through this rapid transformation, we've also been seeking out opportunities to generate efficiencies and organizational structure and cost structure as a result. And so, it's not like that cost is all there and now we can suddenly rip the Band-Aid off and reap a huge saving. It's been happening over time gradually. Having said that, there is potential for some further cost savings going forward, not necessarily related to the sale of Harborside 5. More generally, we've mentioned the repayment of Rockpoint and the obligations that we had under that joint venture. Some of those savings don't really kick in until the latter part of this year given some continuing obligations that we have there. So, a long way of saying that there could be some further efficiencies but there is a base cost to running a public company. And we've already reduced G&A pretty significantly over the last three years to what is now the lowest level in real terms in over two decades and very much consistent with the mid-cap peer group. So, I don't think we're of the average when you compare us to the right size peer and scale is obviously the biggest factor in determining the metrics you'll be looking at, but there could be potentially some further room to reduce that from this point. What the offset to that is, we're still faced with inflation, yes, it's a more modest level of inflation, but it's still there. And so, timing plays a part in that as well and forces that go against us could eat into that to some extent.
Tom Catherwood: Got it. Appreciate those thoughts. And then Mahbod, you mentioned that Liberty Towers project is, if I heard you correct, is kind of a four-year probably, I assume, multiphase project. But can you give us some more color maybe on both the scope and cost? And I understand that if it's a four-year project cost maybe isn't fully nailed down, but maybe what you're expecting to spend towards that this year?
Mahbod Nia: Well, it's a pretty comprehensive refurbishment of that property ranging from the units to the communal and amenity space. And so, the idea really is to we own properties in the area. We know where rents are for newer products. We know where the rents are for that property. And so, the return on invested CapEx assessment is a relatively easy one for us to be able to do in an insightful way. And so, it's a range of things we'll be targeting from actually from units to the broader areas. Total cost, we anticipate to be somewhere in the region of $30 million. But obviously, that's over a four-year period that, that will be spent and resulting in very accretive effects to both earnings and value as a result.
Tom Catherwood: Got it. And then I think it might have been Josh before that asked about other kind of value-add projects in the pipeline, and you provided some thoughts on that. But I think you've got – it appears you've got an ongoing one or at least some ongoing work at the Boulevard collection. Is that a refresh there? Or is that kind of more of just a smaller facelift?
Mahbod Nia: Yes. That's, I would say, a smaller refresh rather than a comprehensive project equivalent to the Liberty Towers one.
Tom Catherwood: Got it. And then last one for me. Amanda, you mentioned one of the caps burning off midyear, and I think you have at least one, if not a few more, that burn off towards the end of the year. What are you building into your sources and uses for the year as far as capital to recast those caps?
Amanda Lombard: So, in my – as I said earlier, the one loan that has a rate reset in the middle of the year, it's actually a rate reset, it's not like a cap that burns off. And so, our intention there is to reset that loan to market rates, whether that's with new refinancing or other options. And then as you noted, there are other caps that expire throughout the year. Generally speaking, we assume that we replaced them in our – and it's like – we generally assume that we replace them.
Tom Catherwood: Okay, that's it for me. Thanks, everyone.
Mahbod Nia: Thank you. 
Operator: Thank you. Our final question will be a follow-up from Steve Sakwa with Evercore ISI. Please proceed with your question. 
Steve Sakwa: Yes. Thanks, Mahbod. I just wanted to circle back on the question I had asked about the guidance. And you mentioned that you're going to lose interest income of about $5 million. Presumably, that cash was earning interest. But presumably, you did something with that cash, either debt pay down or you bought an asset, or you helped fund the development. But I guess I would think that there's some economic return on that cash, but that doesn't seem to be in the thought process. So, I guess what are we missing on that bridge there because it wouldn't seem that that $0.05 completely disappears.
Mahbod Nia: Well, it went towards went towards repaying Rockpoint. So, the way I thought to simplistically lay it out is if you look at the saving from repaying Rockpoint, it's about $14 million, if you look at the NOI loss from office, it's about $14 million. So those two things are largely a wash. And then – but you had $5 million of interest income while you were sitting on that cash weighting to repay Rockpoint plus the other $3 million of onetime nonrecurring and those we don't get the benefit from again this year. So, you could present that a number of different ways, but simplistically, that's how I think about it, you ultimately had a level of nonrecurring income to the tune of $0.08, $0.09, last year, which takes you down from that $53 million [ph] to the mid-40s and then you build back up from there. So, earnings-wise, yes, the upper end of the range is flat on last year if you look at it just in absolute terms, but it's higher quality recurring earnings relative to what we have last year.
Steve Sakwa: Got it. Okay. That makes sense. Thanks for the clarification.
Mahbod Nia: Of course. Thanks, Steve. 
Operator: Thank you. There are no further questions at this time. I would like to turn the floor back over to management for closing comments.
Mahbod Nia: Well, thank you, everyone, for joining us again this quarter. We're pleased to announce another period of both strategic progress and very strong operational performance and look forward to updating you again next quarter.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.